Operator: Good morning, ladies and gentlemen, and the thank you for standing by. Welcome to today's SES 2019 half year results conference for investors and analysts. At this time, all participants are in a listen-only mode. There will be a presentation followed by a question-and-answer session. [Operator Instructions]. I must advise you the conference is being recorded today, Friday, 26th of July 2019.  Without any further delay, I would like to turn the conference over to your speaker today, Mr. Richard Whiteing, Vice President and Head of Investor Relations. Please go ahead, sir.
Richard Whiteing: Thanks, Jenny, and good morning, everyone, and thank you for joining this presentation in the half year 2019 results. Today's presentation and the other results document are available as usual on the Investor section of the ses.com website if you don't already have them. As always, please note the disclaimer at the back.  The agenda this morning is as usual is outlined on Page 2. In a moment, Steve collar, President and CEO will present the main business highlights; Ferdinand Kayser and JP Hemingway, the CEOs of SES Video and SES networks will cover the main developments in their respective businesses. Andrew Browne, our CFO, will then cover the financial highlights in a bit more detail. The presentation will conclude with some closing remarks with Steve and there we will the usual opportunity to ask questions after that.  So with that, let hand me over to Steve
Steve Collar: Thanks, Richard. Good morning, everyone. As usual, I'm going to talk through the highlights and hand then it over to JP. Starting on Page 4, we delivered solid the first half for the year with our financial results in line with our expectations and consistent with the full year given back in February.  Our networking business continues to deliver strong sustainable growth quarter-on-quarter with the growth up 5% year-on-year and on underlying basis. We also -- we also closed some important deals during the first half that will contribute fully in the second half. Video continues to track through expectations despite the challenging market. I'm also pleased that the impact of our laser focus on cost control and discretionary spending is starting to come through key group operating expenses flat compared to the first half of 2018. We are continued to evolve our organization customer focus and success, but also internal efficiency and simplification and having already brought all of our engineering resources together and implemented a common global services team across video networks. We are now combining our video infrastructure and services as far as the go-to-market teams that in Q3. And I see a lot of good momentum coming from those internal organization changes, particularly with respect to our customers where we're getting some very strong feedback. Our financial outlook is unchanged. As was the case in 2018, we expect the expansion of revenue in the second half and have good visibility of this progression over the course of the next several months and towards the end of the year. As you've heard me say a lot, execution is always the key and that's our focus for the second half, in particularly delivering projects in the timely way and getting our new customers into service as quickly as possible. And lastly in terms of highlights on this stage, we've made strong progress with respect to C-band in the U.S. and I'll expand a little on why we're increasingly optimistic stakeholders will be forthcoming in the second half of the year. So over on Page 5, the message is that the first half is in line with our expectations across the board consistent also with our full year guidance. We're on track on video, networks, group and EBITDA. Group revenue was €961.4 million in the first half, which is down 4% in constant exchange. Notwithstanding challenging environment, video is performing to expectations with the prospects of an improving trend relative to the first half, notably with international platforms and MX1 and Ferd will speak to this in a moment. Another period of strong growth in networks with underlying revenue up 5%, following on from year last year, a double-digit growth and that growth will continue, an uptick in the second half of the year and again JP will talk about the drivers to that shortly. We will certainly with the arrival of the last of our satellites, which have just got into service. And now with the initial complete, we look ahead to open and I'm really super excited by the progress we're making on mPOWER, some good traction developing in the market as we look towards launch in 2021 and expect more of that back in the second half also. So yes, on the numbers EBITDA very much on track, and we'll continue to be disciplined in terms of cost and discretionary spend, 90% of revenue for the year is already secured and as I side of the business is to execute and deliver on our promise to both customers and to the market. And then lastly for me, on Page 6, I'll give you a short update on C-band. You will all undoubtingly seeing plenty of activity in the U.S. as the FCC looks to complete the record and ensure that all voices have been heard freeing mid-band spectrum the national importance in the U.S. and it's complicated and they're the main stakeholders. We see consistent in our view that our market base CBA's proposal is the only one that protects the 120 million TV households in the U.S. while allowing for the rapid and safe reproposing of spectrum for 5G.  Again, as you've all seen, the CBA is playing the lot of meat bones over the several months, providing transparency over not just the as it relates to our technical solution, the clearing of spectrum, the accelerated sales process that places spectrum rapidly and fairly into the market and serving the public interest. And we said in the past, timing to predict and FCC obviously drives the timing, but with the focus that we're seeing in the ensuring that the is complete and with comments of the Chairman that he expects to have results to show this fall, I'm more and more optimistic than we'll have clarity on the process over the course of the next several months. So with that, I'll hand over to Ferd, and then to JP to talk a little bit more about the business, and I'll come back and conclude at the end.
Ferdinand Kayser: Thank you, Steve. And Starting with the highlights for Video on Slide 8. So in the first half of the year 2019, SES video generated the revenue of €605 million, this represented an underlying decline of 8.8%, which has been in line with our expectations. This included revenue from the U.S. wholesale contracts that we mentioned in February, and so we believe this is not indicative of the expected long-term revenue trajectory.  Market conditions remained challenging, but nevertheless, we can point to several positives in half one. So first, the 3% growth year-on-year for the number of high-definition and ultrahigh definition channels being distributed by our fleet, which is now at 2,888 channels in total. Second, our initiatives our combine our video distribution and our Video Services activities are well underway and progressing well.  And lastly, as Steve mentioned, we have now secured 90% of the expected revenue for 2019 in Video, and we are on track to deliver full year outlook as was the case in 2018. The priority for the colleagues across the business is now to close out on the remaining, and we have good visibility, especially in the international markets such as Asia, Africa, and Latin America Also combination of both infrastructure and services will be completed in the first quarter, which we also support revenue improvement in-house too, in particular, in further continue to build the commercial relationships with customers such as the major sports leagues and other key During the first half, we concluded some important contracts. We have mentioned some of those on Slide 9. First of all channels, this one stands for other renewals concluded during the first half of the year 2019 in America where the contract of a total of 15 transponders were renewed. We concluded various contracts in the international markets, amongst the most important ones, are the ones we concluded in Ethiopia. One of the fastest-growing African economies, contract with the public service broadcaster, ABC for their channels and with the Association of Ethiopian Broadcasters and the four key international broadcasters, the members of the Association. The agreements foresee a dedicated indiscernible] with some existing channels migrating other positions to SES-12 and of course, the new addition of channels is being launched on this position. Another important development is, our single-most important DTH market with continues reach of 13.5 million households reached agreements with both Samsung and Panasonic, both manufacturers the revenue with HD+ and software being integrated, so allowing consumers to access the HD+ offering without any additional setbox. Additional TV set manufacturers will follow shortly. Regarding video services, we continue to see a positive dynamic in the sports and events area in particular good example distribution of the signal of Women’s World Cup Eurovision Song contest.  So now moving to the individual video segments in more detail, starting with the distribution part on Slide 10. Underlying revenue was 8.7% lower than last year where a key factor has been lower revenue from our U.S. hotel wholesale business based on our renewal with the customer. In addition, we continue to see some volume reductions in U.S. cable business.  In Europe, we [indiscernible] now some slight volume reduction especially with our long-term renewals secured at the end of 2018 and referred to in the Q1 results. In addition, we continue to experience the effect of the exploration of certain capacity contracts signed on a short-term basis as noted in the second half of 2018. Trading conditions in international markets continue to be challenging, but I'm happy to see that effects of our recent wins as pace of the decline is now much lower than it was the case in 2018. In addition, we have taken steps to address some challenges for YahLive where it is fair to say the performance has not been as we have liked. So we are fully integrating the YahLive sales and commercial operation teams and the colleagues of and building commercial pipeline as well as delivering further operational efficiencies.  Finally, on Slide 11, Video services were 9.4% lower than last year, HD+ was stable with the sustained number of paid subscribers during the first half of the year 2019 compared to last year. And regarding MX1, revenue was lower as we continue to shift our portfolio and exit certain low-margin legacy contracts. This is a part of a bigger initiative I have mentioned earlier, and will continue and will ensure and even stronger value proposition for our customers who will see greater visibility from combination of our infrastructure and services capabilities, especially in the IP distribution, video space. And with that, I hand over to JP.
John-Paul Hemingway: Thank you, Ferd, And good morning to all. So starting with the highlights for SES Networks on Slide 13 After a great 2018, we continue to deliver solid growth in the first half of 2019 with Networks delivering 5% underlying revenue growth. We reported a total revenue of €3.6 million in the first half, and we grew across multiple segments, including Governments, Aero, Cruise, Mobile network Operators and Energy. I'm also confident our strong results will continue to improve as we increasingly leverage the capabilities of our GEO high-throughput satellites. We're developing strong sales pipeline both SES-14 in the Americas and SES-12 across the Middle East and the Asia Pacific regions. In addition, SES-15 continues to be very successful satellite, and we'll continue to expand and support North America aero connectivity services. As of the end of H1, we secured 85% of the 2019 revenue outlook, which implies another strong year of growth. So we're on track, as Steve mentioned, and we know what we need to execute on and are fully focused on delivering within the full year range. Our execution in the second half is underpinned with good visibility on customer demand, service deployments, milestone-based projects and our ability to access the latest batch of O3b MEO satellites, which are now operational. It is worth noting that our, O3b mPOWER, our next generation MEO capabilities is developing well with many customers talking about extending existing contracts into O3b and mPOWER services.  So now I'd like to move onto Slide and look at some of our more recent customer successes. So I mentioned in the Q1 call that I would highlight here again not only due to its significance in the Indonesia market and as a major customer SES-12, but also to note that our service is progressing very well, and we also start services in the very near future and bring revenues in the second half. Another key development in Q1 was the European maritime safety agency or MSA for whom we continue to support with an active mission over the authorities. We actually see strong potential for other such remotely aircraft projects in the future. With Genting, we're delighted to leverage our signature cruise solutions for their flagship dream cruise suite, providing incredible passenger digital experiences, further demonstrating that our combination of MEO and GEO satellite coverage with optimized service performance is becoming the market-leading solution in the cruise industry. And lastly on this slide, with a leading Columbian provider we are actively engaging in the Colombian Ministry of Telecommunications project to support initiatives to ensure digital future belongs to everyone. Leveraging our signature enterprise solution and our managed platform service on SES-14, we will work together with to deliver 1,000 Wi-Fi hotspots to remote areas and are confident very significant expansion options in the future. So now I'll just spit through individual vertical performances, starting with government on Slide 15. We are reporting nearly 8% underlying growth in the first half compared to last year with positive developments in both our Government segments. First, with the U.S. government where growth was driven not only by the expansion of MEO solutions but also growth in our number of GEO-based programs  Second, with our Global Government business, which included positive contributing across all of our portfolio, including GovSat-1, the continued momentum in supporting critical humanitarian operations and our institutional programs. We expect to see growth in the second half with government customers, with strong execution on known projects.  So moving on to fixed date on Slide 16. And what remains a challenging market, the Fixed Data was slightly down in the first half 2019 by just over 2% overall, a result which we still believe is a robust performance and reflects some project timing aspects. As mentioned earlier, we continue to deliver new commercial successes with telcos, mobile network operators, and service providers especially in the Americas, but also in Asia with SES-12 and the MEO across multiple regions. We saw good development with multiple Tier 1 network operators with, with and  In general, Managed Services platforms is positive in both MIA and GEO and underlines our strategy to manage the space services and allow our partners to focus on excellent regionalized customer experience. Finally, in mobility on Slide 11, we continue to deliver the first half another strong performance with nearly 11% underlying growth. Aero continues to be a significant driver of growth and strengthens our position in the market specifically with the ramp of SES-15 and SES-14 and indeed our KA-based Aero network, which enabled expansion with our service provider partners to airlines across the Americas and the Atlantic. We focused on working with Intelsat and partnering to help restore services after them. As a result, the second quarter also included the first revenues from our restoration agreements and with our full six month contribution to come in the second half of the year. In maritime, our market-leading position in Cruise continues to get stronger. The benefit of recent wins, as we showed today, and customer upgrades is now becoming pronounced in the overall performance.  So in summary, the first half of 2019 has developed as per our expectations with commercial successes across the business. This leaves us in a good position with; good knowledge of what we need to achieve the remainder of the year to deliver another year of strong growth. And with that, I'll hand over to Andrew.
Andrew Browne: Thanks very much, JP. Good morning, ladies and gentlemen. Turning to financial highlights on Page 19. As Steve as mentioned, we delivered solid performance in line with applications and remained on track to meet 2019 financial outlook, and we in 2018. Revenue for the first half was €961.4 million with the underlying revenue lower by 4.2% compared to H1 2018. On the reported basis, revenue was 2% lower, including the benefit of the stronger U.S. dollar and constant FX, total revenue, including preaudit and other was 5.1% lower than the prior year. EBITDA of €584.5 million represented an EBITDA margin of 60.8% or would be 62% excluding the €11.4 million restructuring charges. As Steve has mentioned, our operating cost for constant FX basis really tight focus on cost, discretionary spend operational efficiencies across the group and indeed offsetting a continuing investment in expanding our Network business. With the impact of the lower reported revenue EBITDA was 5.9 % lower as reported and 8.4% lower constant FX. Net profit was 169.2 million compared to €227.7 million last year and essentially following the trend in the EBITDA with additional depreciation-related to the satellites being brought into service.  Free cash flow before financing of €379.8 million benefited from the 30.3% reduction we've seen in investing activities compared with the half year of last year and somewhat offset by working capital movements during the period. Net debt to EBITDA was lower at 3.5x compared which compares to 3.53x at H1 2018. This reflects the similar payment phasing as last year with a significant portion of cash outflow for interest and dividends being in the first half of the year. Accordingly, we expect to achieve at or below 3.3x at the end of the year and in line with our commitment to investment-grade status.  Finally, there is no change to the financial outlook expansion and this indeed includes our CapEx forecast. So turning quickly now to the remaining pages starting with revenue in Page 20, the change in FX, as you can see, accounted for a €31.5 million of the total movement on a reported basis. At constant FX, the underlying business was €42 million or 4.2% lower, reflecting the growth in Networks with Video development as expected.  Total revenue, including €10.2 billion of periodic and other revenue compared with €19.3 million in the same period 2018. Turning to EBITDA on Page 21, EBITDA was lower as reported and adjusting for the change in FX, as mentioned, this is driven by lower revenue with operating expenses flat. In addition, we booked €11.4 million of restructuring charge as part of our outgoing program to optimize our overall operating structure and operations across the group. Accordingly, EBITDA margin was 60.8% and including the charge, 62%. Net profit, on Page 22, was €169.2 million for the first half, depreciation was higher impact of service new satellites, as we mentioned. Net financing costs were slightly higher than the prior period, which benefited from higher levels of capitalized interest. We recorded €22.4 million as income in tax income and some gains in noncontrolling interest of €12 million. These two line items were affected in the first half of last year by deferred tax assets related to the entry into the service of the GovSat-1 that we own in partnership with the Luxembourg government. CapEx on Page 23, as already mentioned, there is no change compared to what we outlined in February. Leverage on Page 24 and development net-debt-to-EBITDA was 3.5x when compared to 3.53x at the same point of last year. We expect 2019 to follow the same trend in 2018 and accordingly, we expect it to be below 3.3x by the end of the year, and already commitment to investment grade. Lastly financial outlook on Page 25 and Steve has commented are on track to deliver in 2019 2018.  So with that, I will conclude and hand back to Steve.
Steve Collar: Thanks, Andrew. In summary, solid first half from both the revenue and EBITDA standpoint and now it's about execution through the second half. We're on track the year is unchanged. We've got good visibility in our second revenues, you heard from Ferd and JP and in second half much as we do in 2018 with Networks providing the growth engine for business.  I'm pleased with the impact to operational changes that we've made to date have been seen both in feedback from customers and discretionary spending, which is now evident. We're committing to delivering customer success and simplifying our team and organization is really contributing to that goal. And lastly, C-band is starting to crystallize lot of work with stakeholders across the board. And I'm optimistic about our role in creating a real win-win in the U.S. with our solution. So with that, we'll stop and hand back to Richard for Q&A.
A - Richard Whiteing: We can take our first question.
Operator: [Operator Instructions]. Your first question comes from the line of Paul Sidney from Crédit Suisse.
Paul Sidney: I have three questions, please. Firstly, Steve you indicated that H2 trends should improve. I was just wondering can you just sort of pull together all the potential positives that will contribute to that and the second half improvement as we'll see a lot of narrative in the statements relating to it. I was just wondering, if you sort of pull it all together for us. And perhaps in the interest of balance, are there any tailwinds, specific tailwinds in the second half that we should be aware of as well? And secondly, just sort of bigger picture. It's been quite a tough couple of years for you. And it does feel that things are changing for the better. Do you think we are now heading into any sustainable revenue growth; do you think sort of H1 was the tipping point? And then just lastly on a C-band, there is clearly debate around the auction structure, and I was just wondering if the C-Band alliance was with a potential FCC-led auctions. Would that be potentially acceptable to the C-band Alliance in the certain conditions?
Steve Collar: Look, I mean I'm not sure about JP and Ferd said around what's going to drive the uptick, what I would say on the network side is, we've got a significant number of projects, which we are on track to deliver in the second half and that will drive a significant amount of that revenue. We've also closed a number of customer deals. We've actually had a really strong quarter in terms of closing deals on the network side, but they don't get implemented sort of early in the second half, so we're kind of driving through that now, and that will start to flowing through and provide revenue in the second half. And then on the video side, there is decent amount of stuff in HD+. We've got some stuff in MX1, Sports & Events in particular where we're looking for some upticks in international business that we're in the process of closing. So all of that, I would say, gives us momentum. And I would say, good sort of visibility and what we've delivered in 2019, so good confidence. And similarly on the -- I think, a tough couple of years, yes, I think it's true that the industry is going through probably more change than any time in its history. But we delivered on guidance last year, we intend to do that this year, and so I think being clear internally and externally in what we need to do and then delivering on that has been kind of something we talked about right from day one and continue to do that.  And now, C-band, your question was sort of auction design. Look, I think, one of the key benefits of what we are proposing and it's something that I think is recognized, as we look at the narrative and the record, is speed and the auction that we designed really, it's very quick, it's quicker than any other auction type, but it's also quicker than any FCC-led process, certainly, based on previous auctions. Look, I don't think locked into anything, but we think what is really creative and delivers on one of the major objectives, which is speed.
Operator: Your next question comes from the line of Michael Bishop from Goldman Sachs.
Michael Bishop: Just a couple of questions for me, please. Firstly, just picking up on the guidance question, again. It feels like there is a lot of reference to 2018 and the second half delivery. But in 2018, I think, you did more Video being at the low end, and you haven't done that today, but if we look at the run rate of Video overall, it's a tracking well below the low end, and even the midpoint of guidance for the year. And just picking up on the comments and the last question that you were talking about, a decent amount of visibility particularly in the services business. So I just wanted to get a sense that it sounds like in video, you can maybe hit the low end of the guidance is for the year, but that's going to be driven by recovery in services at lower margin. And then if you step to group EBITDA, you're tracking quite below that even with the FX benefits in the first half relative to the 1.15. So from a profitability standpoint, what really gives you confidence to deliver on the guidance? And then secondly, just C-band-related question, I was just wondering whether you have any more insights on potential tax implications and so two parts to that question, the first part is around some of the CBA commentary about maybe some involuntary proceeds going into the FCC for things like a broadband? And then secondly, your own tax implications of any proceeds, thereafter?
Steve Collar: I mean -- so we've obviously -- we've given our range of guidance and given a pretty good amount of visibility, I think, in video networks, sort of overall and EBITDA. And what we were saying is we're all of them, and that's a positive as far as I'm concerned. It's clear that we've got work to do in the second half message is we work is and we intend to deliver it The guys gave a fair amount of commentary around what's going to drive that expansion and on the profitability standpoint, I think, we made a really good strides there. We've done really good job of controlling costs in sort of focusing on our organizations so that we're simplifying and delivering services to customers, but also being pretty careful on profitability side. So overall much as we've said, we're on track in all of the elements and expect to deliver our guidance for the full years. Tax, Andrew?
Andrew Browne: And on tax I think we've said based upon what we looked at a range 25%, 26% or so on the.
Michael Bishop: And do you have any sort of view?
Steve Collar: Michael, I got feeling we didn't answer a part of your C-band question.
Michael Bishop: Yes, exactly. Just on the -- any proceeds going to the SES on a sort of voluntary basis CBA is mentioned?
Steve Collar: Well, look, I think, again, we've been pretty consistent from the beginning that we think the economic benefit of rapidly delivering the spectrum into 5G, kind of any sort of auction proceeds or sale proceeds. I think the economic value for each year of sort of accelerated delivery of five years is sort of our €50 billion range, if you look at sort of commentators on this That said, we recognized concerns of some and some of have expressed that auction proceeds should be -- should accrue to the treasury. And we've indicated we are willing to think about that and address that once it's clear that our proposal is being adopted. So we any further than that other than we have a little ways to go in understanding all of the proposal elements, and we'll be able to comment more on that once the and situation is further defined.
Operator: The next question comes from the line of Nick Dempsey from Barclays.
Nicholas Dempsey: So just one question remaining. If you are near the bottom end of your revenue guidance in 2019 for the group, then you need to show about 4% revenue growth to get to the bottom end of your 2020 guidance. In the context of everything you said this morning, 4% still seems like a very aggressive rebound. Did you give some thoughts of reducing your 2020 guidance at this point, given the trends you are seeing?
Steve Collar: So I mean look, we haven't said anything about being the at the bottom end of the range. That seems to be -- that's obviously something that you're sort of thinking about. We've been pretty consistent on this, right? We've got, we've delivered a strong first half, we've got good visibility in the second half. We hit the numbers last year, we intend to do that this year. And I think while we don't get into sort of more detail around the specific of the deals, and we a good amount of business in the first half, which will reflect through into second. With respect to 2020, look, no reason to sort of change commentary on that at this point. Obviously, we're going to look how we highly progress through the second half of 2019, into 2020. But right now, we feel good about 2019, and hitting in our own area Video, Networks revenue, and EBITDA.
Operator: The next question comes from the line of Patrick Wellington from Morgan Stanley.
Patrick Wellington: I've got three questions, maybe traditional. On C-band Steve, have you got any thoughts on timing? The dictionary definition of the is that the finishes on the 23rd of December. But my feeling is that FCC looks as though it's going to be ready for answer So some sort of a sense of timing on C-band? Secondly, just to complete the sort of set of people's worries about C-band proceeds, there is a school of that] last year at the last moment more than that circa 5% due each. Do you see that as a possibility in the process as there is bit of shakeup at the end there? And then thirdly, back onto the business, actually couple of questions. Do you have it that you can you give us some sort of sense shape of the revenue growth through Q3 and Q4 we gradually accelerate faster in Q3 and an even faster in Q4? Or what you said about the level of contract activity got coming through suggests that we should start to see immediate growth benefits? And then I'm going to come back on your last answer and say, it sounds to me like you think you can do better than the bottom end of the guidance, is that the case? Four questions, apologies.
Steve Collar: So look, on the definition of, I don't think you commenting on that probably. I think in terms of timing, look, I mean what I'm saying I think this year we'll have clarity. I think that's consistent with everything that we're seeing. You know that the FCC, the commission is meeting on a monthly basis and sort of forecasting, which are those meetings we're going to get that clarity, I think. I don't have that visibility in the purview of FCC. But I definitely do things accelerating, the is on accelerated time line and that typically what you see when the FCC is looking to complete the record and have some momentum behind drafting a report and order. So we definitely see that. I think it will be this year, pretty surely this year based on what we're seeing, but whether it's sort of end of Q3, beginning of Q4, end of Q4, I'm honestly not sure. Look, on the CBA, it's apt to say I think it's pretty remarkable that we have pretty much complete alignment between for operators and for competitors, right? And so I think that's really both from. And nothing that we sort of done since the timing before the CBA, I guess, back -- at the back end of last year has been contentious for anything. So my expectation is that, that will continue. Shape for revenue. I mean look, we -- I think it's a little different probably on the network side and on the video site. I think on that network side we'll expect you to see a sort of a step-up in Q3 and then in Q4. If you look at the revenues last year, we kind of accelerated through Q3, Q4. And I think given the shape of the contracts we closed; I think you'd expect the same thing. On the Video side, I think we traditionally and certainly we look where we see the revenue coming from this year, I think, Q4 probably be stronger than Q3. But again, our focus is to try and obviously flow that as much of as early as we possibly can and that will obviously help us into 2020 and beyond. And now, I think question?
Patrick Wellington: Better than bottom end of the guidance. You're clearly indicating.
Steve Collar: Answered that a few times. But look given a range, we're trying to get ourselves as in that range in all of the areas, and I'm pretty confident that we're going to be in the range and I'm not going to say anything more than that.
Operator: The next question comes from the line of a Giles Thorne from Geoffrey C. A.
Giles Thorne: I have three questions for you, please. The first question, going back to this question of voluntary proceeds in the C-band situation obviously, very consciously said what you he said when he said that in front of the committee, and that's CBA's position. So what I'd be interested to hear is what's is on the other side of that quid pro quo? He said that for reason so there must have been something else on the other side of the that you have asked and perhaps secured be it auction design or something. So any context around why you said that would be very, very useful? On the second question, picking up on the news that SES has been expanding services with in Germany, obviously. It would be useful if you could expand on exactly what you've been doing there and does this close the gap on any revenue shortfall that emerge post the 2017 contract renewal with? And then another one back to Steve, I guess, coming back to the question of and specifically OnWeb among others. OnWeb now has it satellites out and was starting to see in the public domain some of the data points around performance, speed which all are rather impressive on paper. it'd be interesting to hear your initial impressions and whether you're seeing anything that changes your view which if you will forgive me, I'm going to interpret as question legitimacy and the relevancy and the sustainability of HTS Leo. So first impressions of what's coming out of OnWeb network performance?
Steve Collar: Look, I mean, again, I don't think I'd say anything much more than I said before on this question of voluntary contribution. Benefit, I think the benefit of what we bring is speed and execution. We know exactly what we have to do to clear the spectrum, and we can do it fast, and I think that's always been the tremendous sort of strength of CBA proposal and continues to be. But we've recognized that they have concern, auction proceeds according to treasury and we don't want to let that stand in the way, but I would say that we got any question on that until we really understand that our proposal represents the path forward. And so we clearly indicated to your point, our willingness to engage that. But we have to understand more of the details of what the FCC has in mind and that process continues this we said that this is a complicated thing to do to try and balance the needs of all stakeholders as you see what you read, what's in the record, but also a sort of a speculation around it. There is lot of people involved in this process, and so engaging with those people and making sure that there is a balanced outcome is something that we're pretty focused on. And I feel good about where I sit, I feel good about the fact we're sort of folks, and we're sort of moving fields like we're moving into a bit of different phase., and I think that's good.
Ferdinand Kayser: Giles, could you please repeat your question regarding the revenue because we got it
Giles Thorne: Sorry, let me repeat. I read news that SES or I guess MX1 has been expanding services with, so I want to get a bit more color on that and a sense of the quantum?
Ferdinand Kayser: So no indeed, MX1 has historically been a service provider for video services to Sky Deutschland. And we recently indeed concluded another deal, in particular, for all kinds of disaster recovery services to be provided by MX1 for Sky.
Andrew Browne: And then on the LEO, in general, it's definitely the case, skeptical, Giles, but I would not say I'm a basher of LEO skeptic, primarily based on a business case, right, deploy that amount of capital generating revenue and make a return to much, and right? I don't think anything that I suggest that, that's not the case or suggest that wrong interpretation of what it takes to deliver a sensible return by deploying hundreds or thousands of satellites. With respect to OnWeb, I still think they've got a long way to go. I lead through a whole bunch of skepticism [indiscernible] certainly contribute to that from OnWeb's perspective but look, having whatever they got is it six satellites up it's a long way from the hundreds that they need, and I think it’s relatively to easy sort of demonstrate performance on one or two or a handful of satellites is a completely different matter when you're trying to deliver sustaining services to customers. So a long, long way to go there, Giles we haven't changed my view on the challenge, delivering services from the represents.
Giles Thorne: Thank you. And if you permit me, just but if you permit me just a quick follow-up on the C-band question. You are up with Chairman in DC on the 18th of July, along with Stevens. And clearly, it was all principals, all heads meeting, they commented about being encouraged by the FTC body language. Are you happy to explicitly link that comment to your meeting with a pie, just a week-or-so ago?
Steve Collar: Well, follow, so you can read that. But definitely the fact that we know kind of engaged across the board, that activity is increasing that the Chairman has publicly said he expects to have news on this matter within the next of months, all that point to in a direction you'd expect. We're engaged with the FCC not just with the Chairman himself, but with the Chairman's office, with other commissioners and with a various different bureaus and that activity is differently increasing. And so in my mind, that's also the good, but also very necessary as we really look to bring this all thing together.
Operator: The next question comes from the line of Sami Kassab from Exane BNP Paribas.
Sami Kassab: First question is on, can you please elaborate on the integration of the commercial operations into the video segments, how much additional revenues will you bring, what is the deal exactly, what's in the revenue growth trends in the recent quarters, a little bit more on how much YahLive will contribute to meeting Video guidance revenues this year, please? Secondly, can you comment on the pricing environment for mobility following the failure of 29. Do you think you can increase prices in certain segments of this market, perhaps? And lastly, you talked about supporting four of the five cruise operators, you referred to vessel expansion potential. In order to help me understand, how much potential there is. Can you share with us the number of vessels or the share of vessels of the four operators that you currently have on board your infrastructure, please?
Steve Collar: So on YahLive, this is more about bringing the kind of sales and go-to-market team within SES and aligning with the rest of our organization and the rest of our go-to-market. Don't expect substantial increases in revenue and in fact, it's a definitely a challenging, it's a challenging. We built a really good neighborhood, a strong neighborhood, but revenue generation is lower than we would expect and this is part of a drive to both generate more revenue, more consistently with the way that we sell to all of our neighborhoods, but also drive cost out of business services. On the Network question, GP?
John-Paul Hemingway: Yes, I'll take the next two. So on, I think your point around does the failure of drive a chance for opportunistically raising prices in their sector. I want to say that our first focus was actually honoring the restoration agreement with Intelsat and making sure that their services were backup, and we have an existing restriction agreement share details around. And outside of that, we pretty much have contracts with all of the major Aero already. There is contracts of long term in nature and have price and volume contract terms within them. So we're pretty much out of those terms as well. So not really, I didn't see that make a particular impact into pricing in that particular sector. On the second one related to that in Cruise, yes, obviously, we're very pleased with knocking down more and more of the key in the cruise industry and do four of five major activities. I can't share the number of vessels; these are ongoing activities as we have more and more vessels within those. What I will share is we typically get on to the, as I described earlier, the flagship cruise ships first because their absolute premium customer service. And once we've done all those, we tend to go down into these medium and the lower end of cruise ships within those customers. So that's sort of detail I can probably share without going into specific numbers of vessels cruise line.
Operator: I would now like to hand the conference back to Mr. Whitening for closing remarks. Please go ahead, sir.
Richard Whiteing: Thank you, I think that's because there are no more questions, thanks, everyone, for joining and thank you for the time this morning. As ever, myself and the rest of the IR team will be available if you have any follow-ups. And with that, I will say thanks very much and enjoy the summer, and have a great holiday. Thanks and goodbye.
Operator: Ladies and gentlemen, that does conclude the conference for today. Thank you all for participating. You may all now disconnect.